Operator: Good morning, and welcome to The Children’s Place Second Quarter 2021 Earnings Conference Call. On the call today are Jane Elfers, President and Chief Executive Officer; and Rob Helm, Chief Financial Officer. The Children’s Place issued its second quarter 2021 earnings press release earlier this morning. A copy of the release and presentation materials for today’s call have been posted to the Investor Relations section of the company’s website. This call is being recorded. [Operator Instructions] All participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. After the speakers’ remarks we will take questions as time allows. Before we begin, I would like to remind participants that any forward-looking statements made today are subject to the safe harbor statements found in this morning’s press release, as well as in the company’s SEC filings, including the risk factors section of the company’s annual report on Form 10-K for its most recent fiscal year. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially. The company undertakes no obligation to publicly release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof. After the prepared remarks, we will open the call up to your questions. We ask that each of you limit yourself to one question so that everyone will have an opportunity. It is now my pleasure to turn the floor over to Jane Elfers.
Jane Elfers: Thank you, and good morning, everyone. We delivered another outstanding quarter with gross margin, operating margin and EPS all at record levels. The significant structural changes we made to our business in 2020, including an accelerated fleet optimization strategy to close 300 stores, or a third of our fleet in less than 20 months, an occupancy cost reset of our remaining stores; optimization of our e-commerce fulfillment costs; the introduction of Gymboree into our portfolio of brands, and a restructuring of our P&L to support our digital-first business model, combined with the accelerated digital investments we made pre-pandemic, all continue to propel our results. Importantly, we are now able to add another significant structural change to our list. With the pandemic-driven acceleration of competitor liquidations and store closures, the competitive landscape now enables us to reset our pricing and promotional strategy. As you may remember, we made the strategic decision prior to the pandemic to pressure our margins in the short-term and support of what we believed would be a healthier, less crowded competitive landscape in the future. Well, the future is now and we anticipate that our pricing reset will continue to be a key driver of accelerated operating margin expansion in 2021 and beyond. Moving on to digital and marketing. Our digital business has always been our highest operating margin contributor due to its high UPT, low return rates and lower overhead costs versus our stores channel. And with the pandemic-driven acceleration of our digital business, we are now gaining additional leverage on fixed overhead costs and driving significantly higher digital margins. As our digital business continues to grow on both the top and bottom line, we are making additional investments in marketing and technology to continue to support this growth. Our digital sales represented 43% of our Q2 sales versus 29% in 2019, and we are targeting an industry-leading approximately 50% steady state annual digital penetration. We are focused on investing in brand awareness through our digital marketing channel and we are seeing higher cost efficiency on marketing spend versus prior to the pandemic. With respect to customer acquisition, we’ve leveraged our marketing tactics and focused our additional investments to achieve a 50-50 split between digital and stores acquisition, which is approximately in line with where our digital penetration is planned going forward. With customer acquisition balanced between our channel combined with our industry-leading 30% transfer rate, we are benefiting from the improved channel mix. This mix change has resulted in significantly higher average spend per customer. We continue to see a shift towards mobile and our mobile app results continue to exceed our expectations. Over 70% of our digital transactions come through a mobile device and our active mobile users are up double digits on top of the significant file increases we saw during the pandemic in the first half of 2020. We launched Afterpay, a buy now, pay later option for our customers in conjunction with the launch of back-to-school selling. While it’s only been a few weeks, we are impressed with Afterpay’s performance to-date with AOV running 50% higher than the average of our non-buy now, pay later tender options. Afterpay has over 20 million users in the U.S., and we are focused on leveraging Afterpay’s ability to reach new millennial and Gen Z customers through this partnership. With respect to back-to-school marketing, we’ve launched a $1 million School is Back Giveaway in early August in an effort to help families through these difficult times. In addition, we are donating $1 million of back-to-school product to Baby2Baby, a non-profit organization that provides children living in poverty with the basic necessities that every child deserves, so kids can proudly wear their new cloths for their return to the classroom. With respect to our fleet optimization strategy, we’re on track to close our previously announced 300 store target by the end of this year. While, we have realized significant occupancy savings to-date, we are well positioned with respect to lease flexibility with 85% of our remaining stores having a lease action within the next 18 months. With respect to Gymboree, we are extremely pleased to see the strong customer response to our August back-to-school offerings. And we anticipate that as families are able to begin to resume more normal activities, we will continue to see increased momentum in this important business. As we have discussed many times, Gymboree is a unique brand and you will not find similar product in scale anywhere else in the kids market. This is a brand loyal customer, and as you can read on our social media sites, mom loves what we are doing with this iconic brand. We’re focused on our partnership with Amazon and they are seeing very strong sell-throughs on our back-to-school assortments. We recently launched a new storefront on Amazon, and we are investing in brand marketing with strong results to-date. We are now projecting accelerated growth with Amazon for the balance of 2021 and beyond. With respect to current TCP business, the last two weeks of July were strong and Q3 is off to an explosive start. The combination of schools anticipated to return to 100% in-person learning this fall, the enhanced child tax credit payments that started to deliver on July 15 and cover 88% of the kids in the United States. Our strong in-stock positions on key back-to-school basics, our compelling back-to-school fashion assortment, record-breaking results from our tax-free events, our significantly enhanced and expanded digital marketing tactics, our strategic pricing reset and a less crowded competitive playing field, all provide strong tailwinds for our key back-to-school selling period. Looking forward to September and beyond, we are carefully monitoring the daily changes and developments with respect to the Delta variant. Our seasoned team will continue to manage these unanticipated developments as they arise, as we have since the onset of the pandemic. While we are not providing guidance at this time, due to the uncertainty, Rob will provide more color on the back half of 2021 in his prepared remarks. In closing, 2020 was the most transformative year in our company’s history. We’ve leveraged a very difficult period to significantly accelerate our strategic transformation and structurally reposition the company for accelerated operating margin expansion. We continue to operate at a high level and we remain firmly on offense. We believe that we are uniquely positioned to continue to deliver accelerated returns for our shareholders in 2021 and beyond. Now, I’ll turn it over to Rob.
Rob Helm: Thank you, Jane, and good morning, everyone. I will review the Q2 results, and then I will provide some thoughts on our Q3 and the balance of fiscal 2021. In the fiscal second quarter, we delivered a record Q2 adjusted EPS of $1.71. Net sales increased by $45 million or 12% to $414 million versus last year’s $369 million. Our U.S. net sales increased by $39 million or 12% to $372 million versus last year’s $333 million, while our Canadian net sales increased by $4 million or 13% to $37 million versus last year’s $33 million. Comparable retail sales were a positive 14.1% in the quarter versus Q2 2020. As an additional point of reference, comparable retail sales were a positive 12.4% versus Q2 2019. Our net sales were positively impacted by strong customer response to our product assortment, higher customer spending resulting in part from the unprecedented level of stimulus, including the enhanced child tax credit payments to our customers under the government pandemic relief legislation. Higher back-to-school sales driven by the announced return to in-person learning, and lastly, the significant majority of our U.S. stores were open for the entire quarter this year versus the temporary closures we experienced for more than 50% of the quarter last year, as the result of government mandated shutdowns ending the quarter with more than 99% of our retail stores open to the public for business this year. Our Q2 net sales were negatively impacted by the impact of our 118 permanent store closures in the past 12 months, inclusive of 42 stores we closed this fiscal year-to-date and the 76 stores we closed during fiscal 2020. The impact of the government mandated temporary closures in Canada with approximately 50% of our fleet closed for May and June, and the impact of an approximately 10% reduction in mall operating hours as mandated by our mall landlords. Consolidated digital sales decreased 33% in Q2 versus 2020, representing 43% of our total sales. Digital sales decreased 36% in the U.S. and increased 7% in Canada. As you may remember, our U.S. digital penetration was approximately 70% in Q2 2020, due to the majority of our stores being closed for over half of the quarter. Store net sales were $219 million for the quarter, which represents approximately 80% of our Q2 2019 store net sales, despite having 265 or 28% fewer stores in Q2 2021 versus Q2 2019, 10% fewer operating hours as dictated by the mall landlords and half of our Canadian stores closed for two-thirds of the quarter. Similar to what we saw in Q1, U.S. stores’ traffic remains under significant pressure for Q2, down 32% versus 2019 levels. Our store performance bolstered by our strong transfer rate further reinforces our strategic fleet optimization strategy. Importantly, we were pleased to see existing customers return to our stores in significant numbers from the limited shopping options available to them last spring, due to the government-mandated closure of the vast majority of brick-and-mortar retailers. Our Canada store business was under significant pressure due to the COVID-19 pandemic during Q2. Canada store sales increased 20% versus 2020 with a 100% of the fleet closed for the first six weeks of the quarter in 2020 versus 2019, Canada sales decreased approximately 39% with traffic down approximately 59%, due to the continued impact of government mandated COVID-19 temporary closures impacting approximately 50% of our Canadian fleet for two-thirds of the second quarter. Adjusted gross margin. Adjusted gross margin increased 2,168 basis points to 40.6% of net sales, a record Q2 gross margin, compared to 18.9% of net sales last year. The gross margin increase was the result of: one, significantly higher consolidated merchandise margins resulting from double-digit AUR increases in both our digital and stores channels, due to strong customer product acceptance leading to higher price realization and reduced promotions. It is also important to note that consolidated gross margins expanded versus 2019 despite an approximate 1,400 basis point penetration increase in our digital channel to 43% of our total consolidated net sales. Second, a reduction of $13 million in occupancy expenses during the quarter, primarily due to favorable lease negotiations and reductions in occupancy expenses for stores closed in the past 12 months, as well as rent abatements of $2 million. We anticipate meaningful occupancy savings for the balance of the year and beyond. And lastly, the leverage of fixed expenses resulting from the increase in net sales, as a result of anniversarying the temporary closure of our entire fleet in Q2 2020. We also saw good expense leverage benefits in the quarter from the results of our work on e-commerce fulfillment optimization, which virtually limited the amount of supplemental ship from store required to support our digital business in Q2. These gross margin benefits were partially offset by higher inbound freight transportation costs driven by ocean carrier equipment shortages, capacity constraints and higher container rates. Adjusted SG&A. Adjusted SG&A was approximately $114 million versus $104 million last year and leveraged 48 basis points to 27.6% of net sales, compared to 28.1% of net sales last year. The 48 basis point leverage was a result of leverage on the higher net sales and cost savings resulting from the significant store closures in Canada, partially offset by higher incentive compensation accruals, as well as higher marketing spend to support the increased e-commerce penetration. Adjusted operating income. Adjusted operating income for the quarter increased $89 million to $40 million or 9.7% of sales, a record result versus an adjusted operating loss of $49 million last year and leveraged 2,302 basis points, compared to a negative 13.3% of net sales last year. Interest expense. Interest expense for the quarter was $4.7 million versus $2.6 million last year. The increase in interest expense reflects a higher debt balance and the higher interest rate associated with our term loan. Tax rate. Our adjusted tax rate was 27% in part due to higher incentive compensation accruals in the current year. Moving on to the balance sheet. Our cash and short-term investments ended the quarter at $64 million. We ended the quarter with $200 million outstanding on our revolving credit facility. We ended the quarter with total inventory, up 21% versus last year. The increase in our inventory levels versus last year continues to be driven by the back-to-school we have been carrying since last June. We anticipate our inventory levels will normalize post our back-to-school selling season ending Q3. Moving on to cash flow and liquidity. We generated approximately $13 million in cash from operations in the quarter, inclusive of the repayment of the majority of the balance of suspended 2020 rents, net of abatements, as well as other planned changes in working capital, which brought our vendor payables back in line with historical levels. Based on our liquidity position and our planned cash flows for the back half of fiscal 2021, we have resumed our share buyback program and purchased $11 million during the quarter, leaving us with $80 million outstanding on our current authorization. Capital expenditures in Q2 were approximately $7 million. Now, I’ll provide an update on our store activity in the quarter along with planned actions we are taking to continue to accelerate our fleet optimization initiative. During the second quarter, we finalized the balance of lease negotiations with our landlords covering our 2020 occupancy. We recognized the rent abatement of $2 million in Q2, bringing our finalized total abatements for fiscal 2020 to $23 million. We also realized significant occupancy expense savings from favorable lease negotiations on our go-forward store portfolio and from the 118 store closures in the past 12 months, inclusive of the 17 stores we permanently closed in Q2. We ended the quarter with 708 stores and total square footage of 3.4 million, a decrease of 13.7%, compared to Q2 last year and 22.2% since the onset of the pandemic. We are planning to close an additional 81 stores by the end of fiscal 2021, which will bring our total store closures to our previously announced target of 300 stores. While, we are not providing EPS guidance, due to continued uncertainty, we want to provide you with some thoughts regarding Q3 and full-year 2021. Starting with Q3, we are off to a very strong start for the quarter. We expect to continue to be an outsized beneficiary of the enhanced child tax credit payments under the American Rescue Plan and expect to continue to see tailwinds for our business resulting from these payments throughout the back half of fiscal 2021. We also have seen benefits from the additional tax-free days in the calendar this year in key markets like Florida, among others, and a new tax free market in West Virginia. We experienced historically low levels of back-to-school demand in both our digital and stores channels in August 2020, due to remote learning in response to the pandemic. Both digital and store sales will be significantly higher in August 2021 versus 2020, as parents stock up on key back-to-school basics for the first time in two years. With all of these tailwinds, we continue to experience some near-term headwinds in our business. First and most significantly, the impact of the 265 permanent store closures since 2019, which contributed roughly $52 million in net sales in Q3 2019; the impact of late deliveries and factory delays resulting from the continued disruption in the global supply chain due to the pandemic; and lastly, the uncertainty surrounding the COVID Delta variant and its potential impact on our business. We expect that Q3 gross margin will exceed our Q3 2020 gross margin as we continue to see merchandise margin in both channels driven by significant AUR increases as a result of reduced promotions and higher price realizations; occupancy savings from our favorable lease negotiations and permanent store closures, and lower e-commerce fulfillment costs, due to a number of optimization efforts, as well as our ability to virtually eliminate the supplemental amount of ship from store needed to support e-commerce demand in the quarter. These items will be somewhat offset by higher inbound freight transportation costs driven by ocean carrier equipment shortages, capacity constraints and higher container rates. SG&A is planned to be in the range of $115 million, increasing slightly from Q2 levels, as a result of our expectation that our entire Canadian fleet will be opened for the entire quarter in Q3, and inclusive of higher incentive compensation accruals and higher levels of digital marketing spend to support our e-commerce business. Moving on to the balance of 2021. We are planning to close an additional 81 stores during the balance of fiscal 2021 to bring our total closures to our previously announced target of 300 stores and expect approximately 75% of our total revenues to be generated outside of traditional malls in fiscal 2022. We anticipate digital sales will represent approximately 50% of total sales, which puts our steady state annual digital penetration significantly ahead of our competition, supported by our digital investments, strong transfer rate and fleet optimization initiatives. We continue to experience late deliveries and factory delays resulting from the continued disruption in the global supply chain, due to the pandemic, as well as increased costs for inbound ocean freight, due to equipment and container shortages. We are pulling up product receipts where possible and have been able to keep air freight costs to-date to a minimum. We anticipate that we will continue to see disruption in the environment at least until the end of 2021. Raw material input costs are also rising. We have been able to successfully mitigate these increased costs to-date with our 2021 AUC projected to be down low single-digits through our holiday 2021 placements. However, we are planning that starting the spring 2022, we will see AUC increases, due to higher raw material costs in inputs such as cotton and polyester, as well as general wage inflation in the countries in which we source our products. We are planning to return to historical operating cash flow levels for fiscal year 2021 with significant positive cash flows planned for the back half. As a reminder, we are planning to receive a tax refund in the range of $40 million as part of the benefits provided under the CARES Act, and our term loan provides us with the opportunity to use up to $25 million of this refund to pay down our term loan without penalty. We are now planning for capital expenditures in the range of $40 million for fiscal year 2021 with the large majority allocated to digital and supply chain fulfillment initiatives. And lastly, as I mentioned earlier on the call, we resumed our capital return program during the second quarter and expect that our operating cash flows will provide us the opportunity to continue to return capital to our shareholders throughout the back half of fiscal 2021. At this point, we will open the call to your questions.
Operator: [Operator Instructions] And we will take our first question from Dana Telsey. Your line is now open – from Telsey Advisory Group.
Dana Telsey: Good morning, everyone. Nice to see the progress. The margins are very impressive. The last to chew on in this quarter in terms of enhancements, Jane you mentioned a couple of things. The pricing and promotion reset that’s going on, how much of it would you say is due to the current state and how much of that is the game plan from the competitors’ closures that you – that you’ve been planning all along? And what does this mean for steady state of what merchandise margins in the future could be? Is there a permanent uptick that we could see that’s there? And then you also mentioned on the top-line, enhanced Amazon business. Anything in particular driving that? And then I have one follow-up.
Jane Elfers: Sure. Yes, on the Amazon business, we made a significant amount of progress since the pandemic started in 2020 on our relationship with Amazon. We – I mentioned, on the call that we launched a new storefront and we’re making some significant investments in marketing. They were seeing some outstanding business in back-to-school and we anticipate that we’re going to continue to grow that business accelerated through the balance of 2021 and then into 2022. So I think that, that’s going to be somewhat of a meaningful driver as we look towards 2022 and beyond. I’ll pass Rob the merch margin part of the question. But as far as the promotional reset, it really goes back to what we said in 2018 that we were going to take short-term margin pain for long-term gain. And it’s really just part of the strategy. It doesn’t really have anything to do with what’s happening with competitor than what’s happening with current inventory levels. It’s a structural change that we had, kind of, promised and we’re able to deliver on now. And from a merchandise margin point of view, like I said, I’ll pass that to Rob.
Rob Helm: So, I think, Dana, we’re living in a different competitive environment than we were pre-pandemic. As we’ve discussed on the prior calls, the kids zero to 10 market is not a growing market. And to gain share and gain competitive positioning, you have to continue to attack market share. Now with the reduced competitive playing field, we’re able to realize higher prices and we think our promotional strategy. That’s the differentiator for us in our competitive set where price is a value player in our competitive set.
Dana Telsey: Got it. And then any follow-up on the AUC cost increases in your outlook for those in 2022? And then the progress on lower e-commerce fulfillment costs, where are you? How much did you lower by? And is there more to go?
Rob Helm: So we are experiencing rise cost across of our P&L, higher AUCs driven by lower raw material and labor inflation, higher wages impacting our stores in D.C. associates. And those are just some of the key costs that impact our P&L. We’ve seen some of them in our supply chain already, while others have been – we’ve been able to mitigate to-date. We do expect that you see it to be higher starting in spring 2022. However, these costs are impacting really everyone’s health space. And we’ve heard over and over again that others intend to increase prices to maintain margins. Again the differentiator, like I answered earlier was we’re playing in a reduced competitive playing field in our competitive set. So we’re able to realize higher prices and reduce markdowns and promotions to mitigate this impact.
Operator: And we will take our next question from Jim Chartier with Monness, Crespi & Hardt.
Jim Chartier: Good morning. Thanks for taking my question. Rob, I was wondering, if you could provide some more detail on the CapEx investments and supply chain and fulfillment capabilities you mentioned. What are the expected benefits from those investments? And then in terms of timing, when do you expect to see – start to see some of those benefits?
Rob Helm: Sure. For a full-year basis, we’re expecting CapEx in the range of $40 million, which is significantly lower than our accelerated investment that we made for the past three years coming into the pandemic. From a composition perspective, our lower store count provides us with the opportunity to recast a significant portion of our CapEx on an annual basis and say digital and supply chain fulfillment initiatives. And really the composition of those going forward are to support the outsized growth that we’ve seen in the e-commerce business to be able to — to increase our fulfillment capabilities.
Operator: And we will take our next question from Jay Sole with UBS.
Jay Sole: Great, thank you so much. Jane, I wanted to ask you about two quite interesting comments you made at the top of your remarks. One is that you said Q3 is off to an explosive start and then you said the company is positioned for accelerated operating margin expansion. I realized you’re not giving quantitative guidance here today, but can you elaborate a little bit on what explosive means and sort of like where you see the operating margins going in the near-term and sort of beyond?
Jane Elfers: Sure. When we look at August 2019, August 2019 was our highest revenue August in our history, and we’re currently comping positive 41% against August 2019 and net sales are positive 25%.
Rob Helm: And in terms of operating margin targets, our current profitability is being driven by the structural changes we made in 2020 during the pandemic. Our sales were only a touch lower than 2019, Q2, and we made almost $35 million more in operating profits during the quarter. Digital has always been our highest operating margin channel and we continue to improve those margins through our supply chain and fulfillment initiatives. With the steady state 50% digital penetration and our focus on driving that higher, we expect overall operating margins for the company to remain higher in the future. In terms of our pricing and promotional reset back in – we took the opportunity to take the pain in 2017 and 2018, as we strategically made a decision for short-term margin pain for long-term margin gain as we struggled – as we competed for market share amongst a number of struggling retailers. The opportunity to reset on that is now. And in addition to those digital and pricing strategies, we have a number of other opportunities to improve profitability in 2022 and beyond. In terms of gross margin, we expect to see continued benefits from our accelerated store closure program, and fleet negotiations in both reduced occupancy expenses and the full-year benefit from our 123 store closures in fiscal 2021. We have just scratched the surface with the Gymboree brand having launched this iconic brand at the pandemic; we’re still targeting $140 million sales opportunity there. We are excited about our business with Amazon and we’re focused on accelerating that growth. We expect that the shipping costs that we incurred this year will start to moderate as we won’t have to incur those higher cost this year – next year as the world gets back to normal. And we have one-time cost in our P&L this year, including long-term incentive compensation accruals that were restored this year based on strong performance.
Operator: And we will take our next question from Susan Anderson with B. Riley.
Susan Anderson: Hi, good morning. Nice job in the quarter. I’m curious, thanks for the details on the – on quarter to-date in August. I’m curious just in July, when the child tax credit did hit, did you see a noticeable bump up from that and – because it sounds like you’re expecting to benefit from that going forward? And then also just on the price increases and the higher pricing, I’m curious just given The Children’s Place, obviously is very competitive, are you seeing any push back at all from the consumer? Or are they just basically accepting those price increases?
Jane Elfers: I think, with a 41% comp, I could confidently say, they’re accepting the price increases. And your question on July, yes, we saw a bump in business with the child tax credit.
Operator: And we will take our next question from Paul Lejuez with Citi.
Kelly Crago: Hi. This is Kelly Crago on for Paul. Thanks for taking our question. Just to follow-up on an earlier question. I’m curious if you are expecting to build on your F 2021 EBIT margin in F 2022, just given some of the inflationary headwinds that you spoke about, and some of the tougher comparisons related to some of the stimulus that’s helping drive the topline currently? And then just another one, quickly on gross margin in the third quarter. I think you said you expected up versus 2020. Curious if you’re also expecting up versus 2019 in the third quarter? Thank you.
Rob Helm: From a 2022 perspective, just earlier I outlined a couple of the opportunities that we think there is more opportunities to improve margins in the future. Obviously, it’s a rising cost environment with inflation and that’s a headwind as well. But from a competitive set pricing perspective, we think that there is an opportunity to increase prices, as many have spoke about increasing prices there as well. From a Q3 gross margin perspective, we haven’t provided guidance obviously. There is an opportunity to have higher gross margins than what we’ve seen historically based on the opportunities that we talked about in terms of merchandise margin and pricing and promotion reset, as well as the lower occupancy costs and the fulfillment costs, but there are also obviously headwinds relative to free transportation, higher inbound costs and air freight.
Operator: And we will take our final question from Marni Shapiro with Retail Tracker.
Marni Shapiro: Hey, guys, congratulations. The product has truly been outstanding. Jane, can you talk a little bit about – or I guess either of you a little bit about two things. One, the prices, you said prices are going through higher, is this due to lower promotions or are you taking up like-for-like prices or combination? And then just a follow-up, you dropped Halloween online and a little capsule in stores that looked very cute. Is it selling this early – I know we heard Home Depot already sold out of their little Halloween group, so I’m curious if consumers are buying in advance this year?
Jane Elfers: Sure. Year, Marni, on the first one, it’s a combination of like-for-like and promotions. And I think, you know, I just – we just keep going back to the same thing. It’s been the strategy since 2018. We said we’re going to pressure the margins in the short-term. If you look at the pricing right now on key items that we have online, you can see that they’re priced considerably higher than they were in 2018. But in almost all instances, they are still lower than the competition. So the room is still there. And like I had said on previous calls, I’m not concerned that we’re changing the DNA of Children’s Place pricing. It’s been the strategic plan. And like I said on my prepared remarks, now is the time and they are really isn’t anywhere near the competitive playing field, particularly in the malls that there was in 2018, and clearly, we don’t expect that to come back. And so we really have – we have a lot of room to kind of set the prices where they should be versus where they were in 2018 as we were battling against, like Rob said, some struggling competitors. As far as Halloween is concerned, we delivered it last year at a similar time frame and it was extremely successful. So we kind of double down on it this year, thinking that there would be hopefully a Halloween, because it was canceled last year. So we’re very happy with what we’re seeing so far and you can also see in our website that we’ve also launched Christmas pajamas, and I think people are already responding to those having hopefully some more confidence that people are going to be able to be together during the holidays. So I think there is really, kind of, an emotional poll right now going on with that type of clothing. So we’re pretty happy with what we’re seeing. Thank you.
Operator: Thank you for joining us today. If you have further questions, please call Investor Relations at 201-558-2400, extension 14500. You may now disconnect your lines and have a wonderful day.